Operator: [Call Starts Abruptly]…standing-by. At this time, all participants are in a listen-only mode. After the presentation, we will conduct a question-and-answer session. [Operator Instructions] Today’s conference is being recorded. If you have any objections you may disconnect at this time. Now I will turn the meeting to Mr. Christian Reinaudo. Please go ahead, sir. Your line is open. Thank you.
Christian Reinaudo: Thank you, Operator. Good morning to all of you. So, I would probably focus more on the full year results and we will switch to the quarter four numbers when it makes sense to show the evolutions. In this first chart so I'm on Slide 3 for the ones which are following on the Internet. So, we see the sales the top-line has dropped significantly to say the least in 2014, 7.5% if you exclude currency rates and the comments that we have to make on Q4 are very similar to the comments we made during the year, so it's basically a set of reasons which I have convicted the top-line to be down. It's a tad too early of course we know that Agfa is still in the situation where most of our traditional businesses are obviously declining mainly the analog. But we have built overtime what we call the growth initiatives, which are growing to overtime compensate for this drop. But structurally the top-line should not decline by a big amount. So, 2014 has seen a set of different parameters which have influenced negatively the top-line. First, the overall economy of the world, which is obviously showing some signs of recovery now in some parts, but it was not the case in 2014. And in particular most of the emerging markets today in Latin America, Russia for example, where both political situation or economical situations has not been driving growth as it used be in the past. These markets are traditionally the markets where Agfa delivers most of its traditional business, consumable business, being prepress plates, being films for analog graphics or being the film for radiology. It seems that some of this market has started to recover a little bit I mean Latin America for example at the beginning of this year seems to be a bit better. India has a good performance. Unfortunately, Russia is not improving. And a few other emerging markets are not showing signs of recovery. Another element of this emerging market is the weight of China, which has been of course growing in our activity and the Chinese market is very competitive. The second reason for the decline of the top-line in 2014 has been the lack of appetite let’s say for investments in the mature market. Europe, because the economy in Europe was not flourishing in 2014 and in the U.S. in spite of the recovery of the economy in the U.S., we have suffered very specifically on the politics of the U.S. in terms of radiology. I will come back to that later on but it explains a significant path. And of course we have reacted and that's why we show some a bit more optimism for 2015. So that's the top-line equation. And by the way you will see that, this top-line drop has been very similar in the three business groups. A bit more of course in graphics, who is more influenced to some extent by the Consumable business and a bit less in the Healthcare business where the IT has somewhat resistant to this kind of drop. If I look now to the second line of this table, the gross profit this is definitely a line where we have seen improvements. The different parameters influencing the gross profit, one is obviously the efforts we're doing on our efficiency programs. I mentioned several times the four pillars of this efficiency programs being the procurement efficiency, the service efficiency, the factory efficiency and the product portfolio rationalization. On top of that we benefited in 2014 from the relatively low cost affirmatives being in particular silver and to some extent aluminum. And of course, in the other direction, we have a fierce competition which is weighing on the pricing. The overall result of that is that we have improved the gross margin by 1.7% during the year. It's not the end of the journey we continue to work on the efficiency of our programs. And we need to continue to improve the gross margin. The other lines being the operational cost SG&A and R&D, nothing very specific to comment, we've continued to do our homework on the SG&A, trying to keep the SG&A in spite of the drop of top-line in the range of 19% for the Group and reducing by €33 million our total spend and R&D constant, I said several times, we must stay in the leadership position in terms innovation so we don’t want to cut the R&D and of course in terms of percentage of sales we are now above the 5% which was traditionally the kind of level we were aiming at but in terms of value I don’t want to cut the R&D. The result of all these numbers is that the EBITDA of the Company has been increasing pro rata sales to a level of 8.5. So if you remember the figures of the past years it was 7.8% in 2013, it was 7.4% and 7.2% the years before. So we are on the curve which is evolving positively towards the target of 10% that we set for the medium-term which is now in the short-term somewhere at 2015-2016 and as I said we got to go closer to this 10% in 2015. In terms of value the EBITDA happens to be roughly constant compared to where it was a year before and to some extent to what it was the year before. If I move now to the next slide which is the Slide 4 if I can move. And I move to the numbers below the EBIT line. I would say on this slide not so many surprises. The restructuring and non-recurring level has been particularly lower minus 16 million. This is a year where we have not done any major closure or deep restructuring. This is a number which is therefore of the very low range, low side of the rage of restructuring that we guided for. The non-operating result nothing very specific this is the pensions, and the interest of the debt, the debt as we’ve seen is lowering and the taxes at minus 18 million in the ballpark of what we guided for. So the net result of the Company at 59 million is improving compared to the year before and for me it’s a good result to have delivered two years in a row, and that result which is now positive. The big element of satisfaction is obviously the cash flow generation during the year 2014 which has led to a financial debt level which is historically low at 126 million and therefore put us in a position where we can look at the future of this Company in the more positive manner. We have now the clear capability to reinvest for external growth and again I believe that in 2015 and 2016 these are two years where both the growth initiatives that we have launched organically and the acquisition strategy that we need to develop now should boost hopefully the top-line or at least stop the decline of this top-line that we’ve seen nearing the 2.6 billion in 2014. Large part of the discussion of course comes from the efforts we are doing in all directions EBITDA of course cost cutting that also working capital. On the working capital I would say that we are pretty satisfied of what we have done on the receivables moving down from 56 days to 52 days which is a good achievement. We are pretty happy with what we’ve done on the payables moving up from 42 days to 46 days. On the inventories the move is up which is not enough. So we need to continue to improve our efficiency in terms of inventories. I think I commented most of this of Slide Number 7, on both of the Group evolution and the profits and the recurring EBIT and the net debt. Switching now to the three business groups in a few minutes, graphics, the traditional pie chart of graphics shows that of course the analog prepress stuff is now going down again to 13% and the benefit goes both for the inkjet software and service but as well as the prepress digital. Inkjet software and services of course our service and software business to some extent is linked to the prepress business and inkjet which is the growing part of this segment has not showed a significant growth in 2014 because we’ve been turning off the restructuring of the inkjet business but we have spent a certain amount of our energy in 2014 developing the new platform on which in particular our Jeti products will be based in the future and I hope that and I trust that 2015 will show an improvement of the numbers. By the way inkjet for the second year in a row has been slightly positive in terms of EBIT and we have very lessened part of the extra profit which is derived from the inkjet into the development of this new platform. Moving to the numbers of graphics, the comments are very similar to what I read for the whole group. We see the top-line going down so for the group it is 7.5% and for graphics it is 8.8% but we see the same slight improvement in Q4 where the decline is a bit lower than it was during the year. We see an improvement of the gross margin over the year which is about two points with a little bit of a hiccup in Q4 but hopefully we will come back to our curve of improvement of gross margin in 2015. The SG&A well under control at 19.6% minus €17 million on the full year and the R&D a bit constant a slight improvement a slight increase of expenses again due to the efforts we are doing in inkjet. A recurring EBITDA of 7.4%, improving by 0.8 point compared to the year before, so here also we are on the right track to improve the EBITDA overtime. Just a few comments on this Slide Number 11, on the business highlights, the strategy of graphics is still based on the three same pillars which are innovation, growth and cost efficiency. In terms of innovation, we launched the new chemistry-free plates the Azura TE which is a plate that you clean up all the plastic cells so it saves a lot of time and efficiency for our customers. We’ve launched the new version of our software for security which is related to the security of tickets for theater, of ID cards, passports and official documents. And we have introduced the new range of Anapurna products the so called i-range which is based on UV ink which is very versatile to enable our customers inside in this place to be a bit more creative than they used to be previously. If I move to healthcare, the pie chart of healthcare shows a further reduction of the classic cardiology, a good resistance of the hardcopy film which is good news, stability of the CR/Modality which means that the DR growth is now able to compensate for the CR decline so it’s in terms of modality we have a stabilized top-line and IT business is showing growth in the HIS/CIS part of it which is finally have us in the fruit of the investment we have done in iMedia in ORBIS. Beyond this there is a significant switch or movement of the strategy of healthcare. And I want to comment a little bit on the U.S. situation at this time. In the U.S. we have seen a significant evolution of the way the money of the state will be paid to the hospitals to reimburse for the acts. Basically to make it simple, instead of moving from a payment by act we move from a payment by disease or by episode, care episode. And it means that for the services of the hospital like cardiology, like libratory, like these kinds of things there is a major impact on the way they do the business. Our business in the U.S. was significantly affected by these changes because we were mainly driven by the tax for cardiology departments our customers were the cardiologists in the U.S. Overtime during the year 2014 first of all we realized this change, secondly we improved the organization in the U.S., we changed a significant amount of people moving to people which are more savvy in terms of IT and able to have a descent discussion with CIOs and CEOs of hospitals as opposed to only cardiologists and we moved our product portfolio to what we call the enterprise imaging suite which means that instead of just addressing the IT part of the cardiology department of hospitals we now have a product portfolio which is able to take all the images from wherever they come from in the hospital outside the hospital and make it a sort of sub-module of the patient record and this is a significant evolution. That’s why I am reasonably optimistic on the evolution of this business in 2015 and in particular on our repositioning in the U.S. The numbers for healthcare again very similar to the rest of the group with a little bit less drop 5.6% compared to 7.5% for the group as a whole. We see also an improvement in the fourth quarter excluding current exchange rates we’re only at if I may say so at 4.9% instead of 5.6% on the full year. The gross profit pattern is the same as for the group with an improvement in Q4 and a strong improvement of 1.7 points during the year. The SG&A again under control with minus €15 million of cost and R&D constant, so you see that the strategy for the two main business groups is very similar and we continue to improve the EBITDA in the case of healthcare by 0.7 points compared to year before. I think I commented most of the things which are on the Slide 15. Just a few comments on the business highlights so we got clearance in the U.S. by the FDA for the DX-D that is the DR imaging package we have continued success of our fast forward digital radiography in great progress which is helping our customers to move to the digital and the IT world in a more efficient manner. And finally we signed in the quarter a significant contract in imaging with enterprise imaging with the Defense Logistics Agency in the U.S. so it’s a sign of some kind of recovery in the U.S. Specialty, specialty group I would say because sometimes we don’t speak so much about the growth initiatives of specialty, but if you look at the behavior of our growth initiatives in specialty being Orgacon, being the security products, being electronics, being the synthetic paper all that performed well during the year quarter-after-quarter and the good thing is that in spite of a lower cost of silver that means a lower generation of revenue through passing by to customers the silver price, the top-line has been declining to a level which is similar to the rest of the group. But if you remove the effect of silver, the top-line has not been rolling so much and if you look at the quarter four it's a flat number. The gross profit slightly down, and it is a mix of things in particular linked to the evolution of the cost of silver, SG&A constant at 10.7%, R&D slightly down but it's due to some effects of variations of funding and finally the EBITDA is at close to 11 million, slightly down compared to the year before. But overall I would say that the specialty group has resisted pretty well in terms of positioning and the strategy of growing businesses to eliminate, to compensate for the decline of our classic field is working reasonably well, that is basically it. There are two slides in the package on the pensions but I think it's better to answer questions if you have questions about the pensions. Most of the things are pretty clear I think for everybody and I stick to what I said very often that the balance sheet issues is obviously one thing, due to the recent price mainly but what I look at more importantly is the cash flow and the cash flow evolution is positive for the Company cash flow in the year to come. That’s it for me and I am ready to take all the questions. So we start with the questions from the room and these are questions on the Web we’ll take them later on.
Q - Emmanuel Carlier: Emmanuel Carlier, ING, three questions from my side. The first on the top-line guidance for 2015, could you maybe give a little bit more explanation on the assumptions you take is it based -- I guess it's not based at constant effects it takes into account the positive impacts from the dollar? And secondly does that include any initiatives from external growth? Second question is on the margin the EBITDA margin around 8.5% in 2014, you guys never told go closer to 10% also here if you provide a little bit more detail of why you believe you can bring that up is that because improving sales trends still a positive impacts from raw material prices efficiency gains or other stuff? And then the last question is on M&A, could you maybe disclose the financial criteria you take into account for that because the acquisitions with good profiles if I remember well these companies are for sale at pretty high valuation levels? That’s it. Thank you.
Christian Reinaudo: Okay Top-line, I don’t give any outlook on the top-line for 2015. We said in the press release that a bit like we did in 2011, when we started to set the medium term target for the company in terms of EBITDA to sales at 10%. I believe it's time for this company to move into a new Phase which is a phase of growth. And therefore, we set the target for the medium term at €3 billion. Why do we set this target now? First of all because the feeling is that the next years to come, the three, four years to come should be normally years where the economy of the world will continue to gradually improve, hopefully. Secondly, we’ve reached now a level where we need, a level of debt sorry where we need to use the capability we have to push for external growth. We’ve been as you know we have been very shy in this field in the past years, because we were still under the threat of movements of silver, the movements of the economy of the world which was not very easy to master. And being cautious by nature, we were a very cautious not to put the company in a situation where based on evolution outside of our control we could becoming in the risky waters. Today we feel more comfortable that’s why we think of acquisition. 2015 there will be no or very limited if any impact of any acquisition of course on the top-line of 2015. 2015 I hope that we are going to at least ease if not stop the decline in the top-line through our normal organic capabilities. Of course the U.S., the weakness of the euro should help us not only in terms of mathematical translation, but also in terms of positioning of our cost compared to the competition. But also it's really time for us to see the results of improvement of top-line in the security, in the inkjet, in the DR market and this kind of initiatives that we’ve been working on for the last few years. In terms of EBITDA margin, again look back at our numbers of the past years 7.2%, 7.4%, 7.8%, 8.5% of sales. We still have improvements relatively in terms of gross margin efficiency. Of course there is a big uncertainty of the gross margin which is the level of competition and price erosion which is fierce today but we are able with our programs to at least make sure that we continue to maintain and even grow the gross margin. So in 2015 there is still another year of improvement of this gross margin in our programs in our efforts organically. That’s why I believe and of course on top of that if we stop the erosion of the top-line to last year extent because last year we suffered of course from this minus 7.5% erosion I believe that we have good knowledge in terms of how to master the cost of the SG&A and R&D. So I believe normally that should continue to deliver an improvement of the EBITDA. Now close to 10%, how close is it going to be, it’s too early to say during the year but definitely it has to be above the level of 2014 significantly. In terms of M&A, again M&A I am conscious of talking about M&A because I don’t want to distress too much on that but as I said several times now to the M&A have to be in one of good growth domains. We are not in M&A to acquire in a domain which is going down but some businesses which are globally flat or declining are still growing in some places that’s why I think that, that could be intelligent moves in terms of M&A in some emerging markets where the market is still growing in traditional businesses where we could participate in the consolidation and therefore deliver some kind of improvement of our overall profitability and growth. Secondly, obviously in the more traditional growth domains which are HC, IT, inkjet, software you name it there would be a certain number of opportunities that we could be able to capture, so in terms of multiples, because that’s Emmanuel your question. It’s clear that acquisitions in the field of traditional businesses in emerging markets should be at the level of multiples which are reasonable compared to the multiples of Agfa while of course acquisitions in the field of growth activities like HC, IT would be in multiples which are near than the multiples of Agfa. So it’s too early to say today what will be the mix because you don’t make acquisitions all at the same time but what I have in mind is not to dilute too much if any the multiples of Agfa in terms of EBITDA, that’s clear. So in fact in my mind going for acquisition means helping the top-line to develop beyond what we can do organically but it also means not destroying value in terms of EBITDA value.
Emmanuel Carlier: And in terms of the balance sheets the pension liability that is already high I guess you also don’t want to have the very high pension debt to EBITDA ratio, so could you maybe give some guidance on where you want to go how much you, what’s the amount of cash you want to reinvest?
Christian Reinaudo: I think that pushing the debt up to a level of 1.5 times the EBITDA is not reasonable.
Emmanuel Carlier: And if you see securities can you update us on two sensitivities, one is the impact of the sliver on your EBIT so one, what would be the effect of $1 decline in the sliver price. And the second one is on related to the pension liabilities, what if interest rates decline another percent or half a percent what would be the impact on your equity? Thank you.
Christian Reinaudo: So the first question I will answer, and the second I’ll let the expert Kris give you some flavor I’m not sure he will give a precise answer but he will be more educated than I am for answering the question. On the silver it’s a bit funny because if you look at the two evolutions of the tonnage which is going down and the evolution of dollar which is up compared to euro, it happens that if you take the same kind of impact you will be in the ballpark of what we expect. So basically the €3.7 million per dollar, personal loans per year it is still I believe, we believe the right order of magnitude. You understand? It should be lower because of the tonnage it will be higher because of the dollar, so in average it’s still the same. We believe it will be the same order of magnitude, for the pension, Kris?
Kris Hoornaert: Every 25 base point increase or decrease has an impact of roughly €80 million growth that is for the impact because you also have of course FX affect.
Emmanuel Carlier: So taking that into account and knowing what interest rate did over the last three, four months what we can see since the end of the year, than there is the risk that you will have a negative equity at the end of the first quarter?
Kris Hoornaert: We only make an adjustment once per year we don’t make that calculation every quarter that doesn’t make any sense. So that’s why the sensitivity is in the report. I think looking one year further because that’s when we will report a new figure. At this moment in time interest rates have gone down further with a certain percentage. On the other hand there is an expectation that in the U.S. and UK expectation that the interest rate will increase so it’s difficult to forecast what it will do next year and that’s why you have the overall sensitivity. But there are, Europe, there is U.S. and there is UK and those are playing a role impossible to predict.
Emmanuel Carlier: It has no impact on your covenants?
Kris Hoornaert: No, not at all, the covenants are net debt to EBITDA and EBITDA over interest and there is -- we are at roughly half times net debt to EBITDA so that’s why and the guidance is 1.5 times EBITDA for an acquisition should be no issue at all.
Christian Reinaudo: And again to switch the gear for me cash flow, and if you look at the cash flow impact of the pensions it’s lower than it was two years ago because of the actions we have taken in the last two years. And if you look at the impact of cash flow below EBITDA it is 60 million so it’s I think it’s a reasonable amount compared to when we say we keep saying from the last years that we have put out pensions under control I believe that to a large extent when it comes to the P&L and the cash flow impact this is demonstrated and the balance sheet is obviously another issue.
Kris Hoornaert: I think when this new team started this is for us an all time low at 126 we have been able to refinance over the last year ourselves with food products and retail bond for €43 million and another facility from the export development center in Canada for another €50 million that monitor day is not drawn because we don’t need the money. We also today have a big revolver with our banks of €445 million it’s not drawn at all so we are -- you will see what we still have to do and that is for this year is renegotiate revolver for the next five years but there will be no issue at all and that’s something for towards year-end.
Christian Reinaudo: Yes Stefaan Genoe, Petercam.
Stefaan Genoe: Yes I assume with the equity pure accounting item no covenants it doesn’t matter whether your equity is negative or positive, either negative as long as cash flows are not changed?
Christian Reinaudo: Correct.
Stefaan Genoe: In the presentation you mentioned increased competition in China I think it was in graphics. Could you elaborate a bit on which competitors, is it in this area you could see consolidation and I assume with the current euro so that’s not an issue. But could there be exports from these competitors outside of China?
Christian Reinaudo: On China we must be very clear for healthcare today there is basically situation which is unchanged so we have a strong position and if you look at the healthcare business in China it’s mainly to the traditional imaging business and the battle is between the three big players of the world. So what I was commenting is for graphics. In graphics we have a different pattern graphics we have the three traditional players plus the Chinese and the Chinese they have a position in China which is due to the former analog plants so they have plants that they are transforming. So but these guys because of the patterns that we own in most of the countries in Europe and the U.S. are blocked so they stay in China but in China on the Chinese market which is today seeing part of the growth of the world volume of course the Chinese are getting their share of the business that’s what I meant.
Stefaan Genoe: Does it make sense to still have analog offer in graphics in China but they’re known to growth of volumes don’t look at margins and it’s a very competitive market anyway?
Christian Reinaudo: Our analog position is on the film in China only where we have a strong position. For the rest, digital plates, we do what we have to do that means we complete and we lower the cost we have the factory which is very efficient in Wuxi and we have a joint venture with the partner who understands the business in China and when you look at the minority part of the net result you see that the performance of our Chinese ventures went bad. But in terms of market pressure you have the switch progressively more and more to China whereas the pressure on the price is pretty high so that’s something that we communicate.
Stefaan Genoe: Yes, the dual transfer is still possible today but in this market environment in China strategically is it given the risks return on capital employees et cetera is it still worthwhile keeping the analog graphics business in China?
Christian Reinaudo: At this stage, it is, the strategy of the Company in China has to be reviewed as a same way as it is somewhere else we will continue to review the strategy in terms of Inkjet in terms of inks, in terms of plates. We still have innovation in the plates which can be highly competitive. So there is no major change today in what we see except that this is a place where the market competition is pretty high. But look at the net result, they are positive.
Stefaan Genoe: And then in healthcare you mentioned the changing sales mix especially also due to the initiatives taken in to respond to the market circumstances in U.S. Can you give some color on the margin impacts we would see from this radiology I assume margins now you need some investment cost also to re-launch door to force the re-launch of all the products?
Kris Hoornaert: Honestly, I don’t see bit difference. So the approach was to projects in radiology, it was IT projects to what is radiology. Over the last couple of years we have redeveloped our platforms just to not only be able to deal with the needs of radiology, but also the needs of all other image producing departments. And it is much more in the approach that we changed, because we now deal with the CIOs, and CEOs and CFOs. But on the basis of a platform and a platform that will be able to deal those with the needs of radiology and with all the other departments. For every image that’s taken in radiology, another image is taken outside of radiology and that’s the needs we addressed by making sure that that image ends in the right patient file.
Stefaan Genoe: You needed to recruit new people reorganization a bit the organization did this have a negative impact on your healthcare margins in 2014 or particular in Q4 or it's not meaningful?
Christian Reinaudo: It's not significant. Other ways probably we had the head of our operations in North America which has left to by the way the leadership of one of our customers which is god news to some extent and we placed it. So this is no cost difference and we reorganized our sales organization to make sure that we have a group of people which is more dedicated to selling IT systems. That is I would say for you at the group level these are details that the reason why we mentioned that is because it's obviously that we have suffered in the last two years on the U.S. reorganization of healthcare systems. And we need to react and we need to feel that we are taking reactions and hopefully the numbers will follow.
Stefaan Genoe: And then my final question on the dollar sensitivity of the Group I would say with raw materials having come down, but the dollar up how could be I guess the dollar sensitivity are you -- I suppose you are at these levels loan dollars in the company?
Christian Reinaudo: We are loan in dollar but how much in dollars that we are loan is changing everyday based on our raw material prices that we are loan, so it will have a positive effect and we’ll see at year-end by how much.
Kris Hoornaert: Yes, Stefaan dollar is one currency there are other currencies in the order.
Christian Reinaudo: It is about the weak, your focus should be the weak euro.
Kris Hoornaert: We furnished that euro is weak compared to most of the currencies in the world and it's not only dollar.
Guy Sips: Guy Sips, KBC Securities. You were hinting for fierce competition and that was waiting on the prices is that changed, is it a comment on the fourth quarter or is that versus for the full year? Is it different in the fourth quarter or is it…
Christian Reinaudo: It is encumbered which is very for the full year and that we don’t anticipate to see reduced in the next quarter or so. Nice competition in graphics which is the competition being the three big players and the Chinese in China, but they are still in China, that’s it. And we have to cope with that, that’s why we need to continue the pressure on our improvement programs in terms of gross margin protection.
Unidentified Analyst: [Indiscernible], how much of your sales is coming actually from China?
Christian Reinaudo: Our sales in China Ali the total sales we do in China are in the order of magnitude of 10% of the Group, order of magnitude. You have sales of course China is significant customer base for the electronic products for specialty and JV in graphics and the sales of films from healthcare so overall order of magnitude 10%.
Unidentified Analyst: And the graphic market, were under severe pressure the last year’s specially with the press and the media the papers. How do you see this now is it stabilizing?
Christian Reinaudo: It's true that the film is under pressure in especially in the rest of the world. So in Europe and United States there you see shift from the printed paper to electronic media. But if you look at the global scale there in specialty emerging markets print is still growing. And what you also need to know is we do in printing plate so this is no linear relationship between the plate consumption and the printed output because the plate is effect of start that you need in order to print multiple pages and what we see is that the global market for printing plate is slightly growing but all the growth comes from the emerging market, that overly compensate the decline in the market in the rest of the world and that’s why there is a huge competition ongoing first of all because the decline in the western world and secondly the growth in the emerging market so you have the shifting in the market as well from west to east and in competition with top three and competition with the local players.
Unidentified Analyst : Yes one follow-up I would say on the guidance you’ve provided it might sounds simplistic but 3 billion sales in 2016 10% of EBITDA…
Christian Reinaudo: 2016. Who said that, you?
Stefaan Genoe: No. ’17 10% EBITDA margin that’s 300 million from the current 220 million in 2016, 2017 we can put in our model?
Christian Reinaudo: Medium-term has to be defined. 10% EBITDA margin this is something I speak to. The 3 billion targets again it’s a bit like the 10% that we gave in 2011 it has to be considered as medium-term and of course as you understand it will depend on the speed and the quality of what the portfolio of acquisitions that we can find. We are not going to be stupid in terms of acquisition just for the sake of pumping up the top-line. There are good possibilities that we will, and if there are the good return in terms of return on investment for acquisitions we will do that. But I don’t want to commit on the timeframe from 2 billion at this stage but definitely not 2016 Stefaan.
Emmanuel Carlier: Emmanuel Carlier, ING, two additional questions, one on the aluminum prices, should we expect the positive impact that because that’s always a bit difficult to model I know that you guide for, that was unlike between six to nine months.
Christian Reinaudo: We do the same exercise as you should do with our guidance and it works. So six to nine months, it’s a good guidance.
Emmanuel Carlier: But then I think it will have an negative impact not the positive impact and also for this year I think you mentioned that it’s had a positive impact where I do the calculation I think it has a negative impact. So I’m always bit confused in the aluminum price as the [indiscernible].
Christian Reinaudo: I don’t know what to do with your -- but six to nine months it works I can tell you and the impact is still positive.
Kris Hoornaert: I think you need to go to your two colleagues because I think -- give you some [indiscernible] I can tell you because again every quarter it does the collocation of what you should have in your models. In six to nine months it works.
Emmanuel Carlier: I’m surprised. All right I will keep that in mind. Second question is on factoring I think there was no factoring included. Okay. Thank you.
Christian Reinaudo: I think we have finished the questions here. Is there any question on the Web? Okay. So if there is no question I just want to wrap up this call. So for 2014 obviously an issue of top-line and we are addressing it as I try to convince you for good news. One, the cost including the cost restructuring well under control, the refinancing of the company which has started because was mentioning the 92 million, 93 million that we postponed into 2019 or beyond, so Canadian Bank, the delaying of some bonds, the gross margin improvement in the range of 1.72 points improvement, which of course relates into the EBITDA and finally the positive cash flow of the company which has been significant. 2015 two big targets for the company get a slow as possible from the 10% EBITDA and limit of stop the top line decline through our organic capabilities and in parallel of that look at the possibilities for acquisitions taking the benefit of very low level of debt that we have achieved at the end of 2014 to help the top line develop either in emerging markets in our traditional businesses or globally in the businesses where we believe the growth for the future will be namely have guarantee software and inkjet. Thank you.